Operator: Welcome to the Q4 2008 MasterCard earnings conference call. At this time all participants are in a listen only mode. (Operator Instructions) I would now like to turn the call over to Barbara Gasper, Group Executive, Investor Relations. Please proceed Ma’am.
Barbara Gasper: Good morning to everyone. Thank you for joining us today either by phone or web cast for a discussion about our fourth quarter and full year 2008 financial results. With me on the call this morning are Bob Selander, our Chief Executive Officer; Martina Hund-Mejean, our Chief Financial Officer and Tara Maguire, our Corporate Controller. Following comments from Bob and Martina highlighting some key points about the business environment and our fourth quarter and full year results we will open up the call for your questions. This morning’s earnings release and the slide deck that will be referenced on this call can be found in the Investor Relations section of our website www.MasterCard.com. The earnings release and slide decks have also been attached to an 8K that we filed with the SEC earlier this morning. A replay of this call will be posted on our website for one week until February 12th. Finally as set forth in more detail in today’s earnings release I need to remind everyone that today’s call may include some forward-looking statements about MasterCard's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance are summarized at the end of our press release as well as contained in our recent SEC filings. With that I will now to turn the call over to Bob Selander.
Robert Selander: Good morning everybody. I would like to start out by saying I am pleased we have been able to deliver another strong quarter of earnings results. We saw net revenue growth of over 14% despite the headwinds from the strengthening U.S. dollar and improved our operating margin by approximately 22 percentage points versus the year-ago quarter. We have seen the economic downturn hit consumers and businesses alike but our business model and global diversity provides a good degree of resilience in this environment. I would like to take a few moments to discuss our view of the global economy, our fourth quarter results which Martina will take you through in more detail and then offer some comments about our capital structure. I am on slide two in the material. Turning first to the economy, as a result of the current economic turbulence the world is facing significant challenges which can only be addressed with time. The U.S. recession continues with low consumer confidence due to a difficult housing market impacting net worth and rising unemployment now putting more stress on household incomes. The economic issues are not limited to the United States. We are seeing government bailouts and economic stimulus packages from the U.K. to China to the Netherlands. We are seeing banks in several countries being, or close to being nationalized. We expect the climate to remain challenging in 2009 and we are not counting on any improvements this year. Although precise timing is something no one can predict we continue to expect that things will begin to improve in 2010 depending on the stabilization in the housing markets, the specifics and timing of any stimulus packages and the resulting impact on consumer confidence and employment. While we are not immune from the global economic problems we are fortunate to be part of an industry that offers opportunities for growth due to the continued secular trend of people moving away from cash and checks to electronic forms of payment. Of course certain countries are particularly hard hit but we still see tremendous growth opportunities in many other countries around the world. In the fourth quarter we saw the following: In the U.S. gross dollar volumes and transactions for credit declined while debit still grew in the mid single digits. We continued to experience volume and transaction growth in Europe in the mid to high single digit range and none of the major countries in that region have yet dipped into a decline. While Latin America’s growth was in the low double digit area overall due to declines in Mexico and Venezuela, Brazil continues to be a bright spot with solid double digit growth. In addition, our South Asia, Middle East, Africa region is also still experiencing significant growth. Consistent with the October data we shared with you in our last earnings call, cross border growth continued to decelerate in November and December and grew at only 7.5% for the quarter compared to 27% for the year-ago quarter. It is also down sequentially from 18% in the third quarter of 2008. U.S. cross border volume saw declines in the low teens while the rest of the world experienced growth. When evaluating MasterCard process volumes and transactions through the first four weeks of January we saw the following: Worldwide processed volume in January was essentially flat. Cross border growth continued to decelerate in January but was still positive despite further declines in the United States. It is important to note that worldwide processed transactions were up slightly driven by a pick up in the United States relative to what we saw in the fourth quarter. While we cannot control some of the issues that are pressing on the economies around the world we are focused on the things we can control such as effective management and prudent investment of our resources and we continue to remain committed to controlling our overall cost base. As you have seen in our fourth quarter numbers we were able to deliver a 1.4% decrease in G&A expense primarily through initiatives that resulted in travel and entertainment expenses that were down 50% year-over-year and professional fees that were down almost 20%. Similar to 2007, we had some severance charges in the fourth quarter of 2008. In these most challenging of economic times we continue to better align our capabilities to meet our customers’ needs as well as ensure that we continue to innovate and deliver in ways that position us for the future. Based on internal and external feedback that we have received we have made recent organizational changes to ensure that we are delivering in a more efficient and cost effective manner to our customers. We are focusing in particular on the United States and Western Europe while still continuing our investments in the emerging markets and innovative products and services offerings. As a result, you can expect to see additional severance charges in the first quarter and perhaps in the second quarter of 2009 but we are not yet in a position to size that expense. Electronic payments remain vital for commerce around the world. Consumers and businesses will still spend. While the current economic climate will likely continue to put pressure on volume growth in many countries around the world the secular shift from cash and checks to electronic payments will continue given the push for greater efficiency and effectiveness. Our business model, geographic diversity, the work we are doing with our customers and merchants around the world and the continued secular trends should enable us to better navigate these challenging times. Just a few words about our thoughts on capital structure. We continue to believe that at this point a strong balance sheet with a good cash position and positive operating cash flow is the right place to be. It creates a level of comfort in these tough economic times and provides flexibility should we see attractive investment opportunities such as our recent Orbiscom acquisition. As you know our Board continuously evaluates our capital structure and supports maintaining our strong position. Earlier this week our Board approved a regular quarterly dividend as well as a conversion program for 2009 of up to 11 million class B shares which would if fully subscribed bring the class B ownership to just above 15% of total shares outstanding. With that I will now turn the call over to Martina for a detailed update on our financial results. Martina?
Martina Hund-Mejean: Thanks Bob and good morning everyone. As Bob mentioned we are very pleased to cap off 2008 with strong fourth quarter financial results. Turning to page three of the slide deck in the fourth quarter we delivered net revenue of $1.2 billion, up 14.2% over the comparable period last year. This was driven by growth in process transactions, moderated rebates and incentives as well as fees for other services. Additionally, pricing changes contributed approximately 8 percentage points to revenue growth. Currency fluctuations of the Euro and the Brazilian Real relative to the U.S. dollar tempered our revenue growth by 3.5 percentage points. On a constant foreign exchange basis net revenue growth was 17.6%. Excluding a special item of $6 million related to the settlement of a Consumer Protection case in California that was an offshoot of our U.S. merchant litigation, our operating income was $468 million. This resulted in a strong operating margin of 38.2% which is a 22.2 percentage point improvement over last year. The combination of our strong revenue growth and effective cost management has enabled us to leverage our operating margin. As you know, our operating margin is typically the lowest in the fourth quarter due to seasonal factors. [End of quarter] effective tax rate was just over 46% in the fourth quarter of 2008 versus 34.9% in the comparable period in 2007. The increase was primarily due to early measurement of deferred tax assets as increased FIN48 tax reserves. In the fourth quarter we delivered net income of $243 million or $1.87 per diluted share excluding the special items. Turning to page four, during the fourth quarter the global diversification of our business has helped us weather the cyclical downturn in the U.S. Our ability to generate significant volume, transactions and revenue from economies outside of the United States has cushioned our business from the decline that we experienced in the U.S. Worldwide gross dollar volume (GDV) grew 3.4% on a local currency basis in the fourth quarter but declined 4.7% on a U.S. dollar converted basis to $605 billion. The lower GDV growth rates are due to the strength of the U.S. dollar against most other currencies during the fourth quarter. The deceleration in the overall local currency growth rate can be attributed to the U.S. The GDV growth declined 5.2% due to negative credit growth. Worldwide debit GDV however grew 10.7% for the quarter. U.S. debit GDV grew 5.8% which was a slower pace of growth than the 15.9% from the same quarter in 2007. Elsewhere GDV continued to grow at healthy rates for every other region on a local currency basis although at a much slower pace than what we had seen either on a year-over-year basis or on a sequential basis. Although not shown on page four, on a local currency basis worldwide purchase volume was up 3.1%. Similar to the GDV trend, U.S. purchase volume growth rate declined 4.6% for the quarter driven by a decline in credit volume. Fourth quarter volume grew at 7.5% for the quarter versus 27% in the fourth quarter of last year. We experienced exceptionally strong cross border growth during the fourth quarter of 2007 making this a very difficult comp to beat. Therefore, the results are more positive than the absolute number implies given the current global economic turmoil. While travel patterns remained largely the same on a year-over-year basis the only significant changes we saw were fewer Latin Americans traveling to the U.S. and an increase in intra-regional cross border travel within Latin America. With cross border growth decline low double digits during the quarter was more than offset by growth in other regions principally in Europe and in SEMEA. European cross border volume growth remained strong and remember that a majority of the European cross border volume is generated on an intra-Europe basis and consumer cross border volume growth moderated somewhat but we still saw strong double digit growth in our commercial cross border volumes. Turning to processed transactions, processed transactions increased 6% compared to the year-ago quarter to $5.5 billion. Even in the U.S. processed transactions grew at low single digit rates. Therefore we are still seeing the secular trend of people moving away from cash and checks to electronic forms of payment. Let’s turn to page five. Here you see that net operation fees increased 16.5% to $966 million in the fourth quarter. Gross operation fees increased 13.2% to about $1 billion. This growth was driven by two factors. First, banking changes implemented in January 2008 on cross border acquiring volumes and some European pricing initiatives implemented this past October. Second, the growth in processed transactions and fees for other services partially offset by volume declines that translated into U.S. dollars. In the fourth quarter net operation fees were 92.4% of gross operation fees, slightly higher than the same quarter in 2007. This was due to a decline in rebates as a result of lower volume and adjustments for previous estimates. Since we won’t be filing our 10K until later in February we have included the quarterly operation fees detail for your reference in Appendix B to the slide deck. On page six we show that net assessments increased 6.1% to $259 million versus the fourth quarter of 2007. Gross assessments increased 6.3% to $604 million primarily due to pricing and increased revenues as a result of growth in debit cards worldwide. The overall growth was partially offset by lower volumes when translated into U.S. dollars. Assessments as a percentage of gross assessment was essentially flat compared to the same quarter 2007. The normal seasonal up tick in fourth quarter rebates and incentives as offset this year because of lower volumes and adjustments for previous estimates. Now we will turn to page seven for some detail on expenses. We have continued implementing a number of expense management measures as part of our commitment to a flat expense structure going forward. During the fourth quarter excluding special items total operating expenses decreased 16%. Currency fluctuations of two percentage points contributed to the decline. Therefore, total operating expense decreased 14% on a constant FX basis. The decrease was mainly driven by the following: General and administrative expenses decreased 3.4% with currency fluctuations contributing approximately two percentage points. On a constant FX basis general and administrative expenses decreased 1.4%. The decrease was due to the following: Lower personnel costs accounted for 3.3 percentage points of the G&A decrease and were about flat on a constant FX basis. Travel expenses decreased approximately 50% as a result of cost reduction initiatives implemented during the fourth quarter. Professional fees also declined by approximately 20% during the quarter due to a reduction in legal costs and consulting expenses. Advertising and marketing spend decreased by 32.8% versus the year-ago period with approximately 1.9 percentage points related to the impact of foreign currency fluctuations. On a constant FX basis, therefore, A&M decreased 30.9% for the quarter. We have included the quarterly general and administrative expense details for your reference in Appendix B. Turning to page eight, let’s take a quick look at our full-year performance which was once again impressive. We delivered net income of $1.2 billion or $9.45 per share on a diluted basis and excluding special items. This includes $0.42 per share from gains on the sale of the remaining portion of our investment in Redecard. We achieved full year net revenue of $5 billion representing growth of 22.7%. Excluding the 2.5 percentage point effect of FX, net revenue growth was 20.2%. Pricing adjustments contributed approximately six percentage points to the growth. Net revenue growth was also driven by strong growth in gross dollar volume and processed transactions including cross border volumes which grew for the whole year at 16.6%. Finally, we saw our full year operating margin improve 11.7 percentage points to 39% from 27.3% excluding the special items in both 2008 and 2007 respectively. Moving to the cash flow statement and balance sheet highlights on page nine, after litigation payments of more than $1 billion we still generated $413 million in cash from operations and ended the year with cash, cash equivalents and current investments of $2.1 billion. The impact of 2008 litigation settlements resulted in decreased stockholder equity as well as increased litigation liabilities and deferred tax assets. Additionally, the impact of the Orbiscom acquisition is reflected in our year-end 2008 balance sheet and cash flow statement. I will now hand it back to Bob to discuss our outlook for the year and share some recent business highlights. Bob?
Robert Selander: There is no reason to assume that the economic slow down across the world will improve for the balance of this year. The global financial markets are undergoing unprecedented change that certainly impacts our industry and we are positioning ourselves for these changes as detailed on slide number 10. When looking at 2009 we continue to expect the following: Net revenue growth will likely fall below the average annual range of 12-15% that is in our longer term objectives. While we intend to invest wisely for long-term growth we have demonstrated our commitment to manage expenses more tightly. Our total operating expenses are expected to be essentially flat versus 2008. We will use the levers that we have in G&A and advertising and marketing prudently and appropriately depending on the economic environment and our customers’ needs. As I said on our last earnings call we expect to meet our longer term objectives of annual margin expansion of 3-5 percentage points and average annual net income growth of 20-30% this year as long as we see high single digit revenue growth. If revenue growth falls below this level we would need to evaluate whether to make further adjustments to our expense structure also keeping in mind our intention to continue making appropriate investments for future growth. Remember, all of our objectives are on a constant FX basis so our as reported numbers will include any impact of foreign exchange. Given the relative strength of the U.S. dollar we expect that foreign exchange will present a headwind for the revenue and net income lines this year and a tailwind on the expense line. Our longer term performance objectives also assume an effective tax rate of 35%. We remain vigilant about the economic developments that affect both our customers’ businesses and consumer spending patterns and we will continue to evaluate our objectives as we move through 2009 and adjust them as appropriate. Finally, while our business model may not experience the growth trajectory we have seen over the last few years we feel both fortunate and optimistic with the business prospects ahead of us. We believe this will continue to deliver attractive results for our shareholders. Before moving to the Q&A session, I would like to share with you some of our recent business successes from around the world. In addition to achieving strong fourth quarter operating results we remained focused on delivering best-in-class products and services to our customers. We made solid strides in opening up new growth opportunities that leverage our unique processing capabilities and solutions, enhanced our strong position in pre-pay and despite the challenges that they face we continue to be recognized by our customers for the value and partnership we provide as we were awarded with new opportunities and agreements for continued growth. We recently announced a new partnership with global retail leader Carrefour in France launching the first MasterCard exclusive branded cards incorporating Pay Pass technology and combining debit and credit payment applications on a single card. This agreement includes our full suite of domestic processing capabilities. Likewise, MasterCard integrated processing solutions (IPS) the debit and prepaid processing platform we introduced in 2008 continues to build momentum with the signing of another customers. Swiss Bankers became the first financial institution to take advantage of the global prepaid transaction processing capabilities of IPS and we hope to have more news to share with you on the IPS front in the near future. Together with MasterCard the Italian Postal System launched the first National Government Benefits Disbursement Program in Italy using MasterCard branded prepaid cards. With the addition of Poste Italiane our leadership in the prepaid public sector continues to grow. We continue to expand our efforts to provide global remittance services that leverage our global network to extend financial services opportunities among banked and un-banked customer segments. In November we launched MasterCard Money Send in association with the Development Bank of Singapore. The cross border remittance service enables consumers in Singapore to send money via the Internet to friends and family in Indonesia, India, Malaysia, the Philippines and Thailand. With MasterCard Money Send we are enabling our issuing banks to access new customer segments and offer payment products as well as other banking and financial services in developing markets. In India Citi Bank launched the first MasterCard Premium Debit program in South Asia targeting high net worth individuals and senior executives in large corporations. In summary, as evidenced through our accomplishments in the fourth quarter we are committed to leveraging the strength of our global network, processing capabilities, strong relationships and our product development platform in order to drive results for our issuers, acquirers and other partners around the world. I will now turn the call back over to Barbara so we can begin taking your questions.
Barbara Gasper: Thank you Bob. We are now ready to begin the question-and-answer period. In order to get to as many people as possible in our allotted one-hour timeframe we ask that you limit yourself to a single question with one follow-up and then queue back in with additional questions. Operator?
Operator: (Operator Instructions) The first question comes from the line of Julio C. Quinteros – Gold Sachs & Co.
Julio C. Quinteros – Gold Sachs & Co.: I wanted to just sort of hit one quick thing on the cross border commentary. If you could just rehash what you said there about the volumes there coming out of January so I can make sure I got that right. Also, related to that how to think about some of the cross border pricing benefits as you think about 2009. When should those anniversary and just any other color you could provide on the cross border side would be helpful.
Robert Selander: Let me go back to the cross border. I am trying to recall specifically what you are referring to. The January volumes and transactions that I mentioned which were through the first four weeks in the month of January we saw worldwide process volume that was essentially flat for the same period the prior year. Remember, this is what we see that is processed. It does not include the gross dollar transactions and volumes that we do not process. We think it is a pretty good indicator. Cross border growth continued to decelerate in the month of January although it was still positive. We have seen the U.S. continue to decline. What that means is individuals who have cards from U.S. financial institutions are not traveling and I think you probably have seen that in some of the airline statistics and data that is released through other sources in the U.S. marketplace. I think it is important to note and I believe I also mentioned this that worldwide processed transactions were up and that was driven by a slight pick up in the U.S. relative to what we have seen in the fourth quarter in terms of processed transactions.
Julio C. Quinteros – Gold Sachs & Co.: Lastly, all of your guidance is constant currency just to confirm that, right?
Robert Selander: That is correct.
Operator: The next question comes from Tien-Tsin Huang – JP Morgan.
Tien-Tsin Huang – JP Morgan: I was hoping to get a clarification and I also have a question. It sounds like you still expect 3-5 point of margin expansion of 20-30% as long as high single digit revenue growth is there for this year but just to confirm there wasn’t any point guidance on revenue growth for 2009?
Robert Selander: That is correct.
Tien-Tsin Huang – JP Morgan: Assuming current trends persist, I am actually not going to ask about volumes and revenue but I guess really on rebates that was sort of a little bit a delta from what we expected. It was better than we expected. Can you give us some guidance on how that might trend assuming current volume trends persist and also how does FX impact this rebate line?
Martina Hund-Mejean : Let me take that. First of all in the fourth quarter as you already said we saw some moderating in the rebates and incentives line and some of that was due to lower volume growth that we had in the fourth quarter. However, we also had some adjustments to prior estimates so you also have something in there that is maybe more of a one-time nature. In terms of 2009, if volumes continue to be the way they were in Q4 I think you should see a little bit of moderating on rebates and incentives although not to the extent you saw in Q4. I don’t think this is a linear trend. It is going to be just a little bit of an impact. In terms of foreign exchange we are not really talking about the rebates and the incentive line separately from a foreign exchange point of view. I think I laid out at the last earnings call kind of a rule of thumb that you might be able to use particularly as it relates to our Euro exposure. I am referring back to for every $0.01 move in the Euro our net revenues are impacted by about $8-9 million. Our operating expenses are impacted about $4-5 million so we have a net $3-4 million on the operating income line. When you translate all this, maybe I can be a little bit helpful for you to think about 2009 the Euro is now at $1.33 or $1.35 range versus the U.S. dollar. If you translate all these rules we probably are going to expect a headwind assuming that the dollar stays where it is of around four percentage points for the year.
Operator: The next question comes from Andrew Jeffrey – SunTrust Robinson Humphrey.
Andrew Jeffrey – SunTrust Robinson Humphrey: Could you comment a little bit Bob on pricing environment particularly in the U.S. with respect to what is happening at the issuer level and the pressure that your big issuers are facing? Also as a follow-up could you comment on what your view would be of the risk to your business associated with potential nationalization of a big issuer?
Robert Selander: A couple of thoughts on pricing, I believe we have indicated to you that in order for us to realize year-over-year improvements in pricing we need to deliver improved value to our customers and that equation hasn’t changed. From the perspective of what is going on within the U.S. clearly all of our customers are feeling stress. If you take a look particularly on the credit card side of the business we have seen significant increases in delinquency and charge offs occurring. We do not expect that trend is going to abate so we think our customers are going to continue to have an all-hands on deck approach where they try to maximize what they get in their current customers and work very hard on the credit and collections side of the equation. We think that is going to persist throughout the year. As a result we have been sort of reshaping our thoughts as far as how we serve those customers and we do not expect that we are going to see a buoyant acquisition program or some of the things that we may have seen in past years return in the course of 2009. Our competitors, in addition to the customer expectations, continue to make pricing challenging in the U.S. marketplace. The second part of your question was speculation of what happens if there is a nationalization of large U.S. issuer. I don’t know that there is any model that anybody can look at. I think it has been pretty clearly stated by a lot of people on Congress and others in the administration that they are not looking to nationalize banks. They are looking to support banks to help them restore the U.S. economy. So that is not something we currently are thinking about other than in the context of what we have seen when banks have run into difficulties. For banks it is a pretty straight forward regime in terms of what happens if a bank runs into challenges. We have seen that with the FDIC and other agencies in terms of the relatively smooth, I would describe it, handling of the ongoing obligations of those institutions and the continuation of those programs on which consumers and businesses are dependent. We would much rather have all of our customers thriving so we are going to just have to tough it through and help them tough it through these next challenged quarters.
Operator: The next question comes from Craig Maurer – Calyon Securities.
Craig Maurer – Calyon Securities: The first question I had for you is could you comment on the average ticket you saw or the impact you saw in the fourth quarter on your average ticket size and if you can quantify the impact the cash pricing had or characterize it a little bit?
Martina Hund-Mejean : Average ticket prices in the U.S. as well as for the rest of the world have decreased slightly though we did definitely see an impact while we saw the consumer transacting more as you can see from a transaction growth point of view, average ticket price in particular has gone down. It has gone down some slightly. What was your second question related to?
Robert Selander: In terms of what happened with gasoline as you know in the U.S. gas prices are down dramatically from where they were a year ago. Gasoline represented about 6.5% of our U.S. volume and about 15% of transactions during the fourth quarter. If you were to make adjustments for year-over-year change in gas price, gasoline would have increased slightly as a percentage of volume. On the other hand those prices were down dramatically.
Martina Hund-Mejean : Just to build a little bit on Bob’s comment on gas, when you see our purchase volume in the U.S. being down by 4.6% probably around, not probably but definitely around 25% of that decline was due to lower gas prices.
Craig Maurer – Calyon Securities: One follow-up, it was something that Visa said last night that I thought maybe you could also characterize for us, in terms of the comment that percentage of volume driven by debit or pay in full type customers that aren’t revolving it was a question around what would the impact be from dramatically lower option to buy credit lines in the U.S.?
Robert Selander: I’m not sure I fully understood that.
Craig Maurer – Calyon Securities: The question is around what would the impact be if open credit lines were cut dramatically in the states. It was characterized in the answer by the percentage of volume that is driven by customers that pay in full and don’t revolve or debit driven convenience usage type customers.
Robert Selander: I think that is a reasonable thing. If a consumer who would have otherwise been spending has their line capped that is obviously going to affect that cohort of customers. What we have seen is the decline in credit purchases has been in bigger ticket items; furniture, higher priced over $1,000 types of things, electronic goods, etc. We saw that right through the holiday shopping season and those year-over-year declines have persisted. I would argue that consumers are also being more disciplined. They either are experiencing challenging times and are foregoing things that they might liked to have had, i.e. a brand new big screen TV or whatever it might be and they are paying for basics. I think there are a lot of factors that converge there but I think one you mentioned could be and probably is one of those contributing factors.
Operator: The next question comes from David [Cox] – Buckingham Research.
David [Cox] – Buckingham Research: Could you give us a little more color for the outlook for price increase benefit over the next year? Should we continue to expect sort of 6% year-over-year benefit?
Martina Hund-Mejean : As we have said in the past, we are really only making pricing adjustments if it will deliver particular value propositions to our customers. If you can appreciate in this kind of environment where our customers are having very challenging times we are going to be extremely careful and it has to be completely directly tied to what kind of product and service we will give to them. We have laid out there in the past the terms of what we think our normal, annual pricing adjustment which is in the 200 basis points range and at this point in time that is still where we are. This is a very challenging time and we are going to have to deliver in order to be able to do something like that.
David [Cox] – Buckingham Research: Another way to ask it is just how much of what we saw this quarter will continue or anniversary in October or later in the year? Sooner in the year?
Martina Hund-Mejean : As you know the majority of our price increases were in January of 2008 so all of that has anniversaried at this point in time and we made some pricing adjustments in Europe in October and obviously that would be then anniversarying next October.
David [Cox] – Buckingham Research: Could you give us some color on the change in spending growth on world cards versus basic cards? Much of a noticeable change in consumer behavior?
Martina Hund-Mejean : We have really not seen any big differential on that other than what Bob has mentioned in terms of where people are spending on high ticket items. We really don’t see a lot of spending on that. It is really on items below $1,000. It seems to be that $1,000 threshold is still significant. The other thing we have seen an impact obviously on travel. You can see that travel volume is pretty much down. You see that on our network too. Interestingly enough transactions are up because when you go and travel on an airline these days you get charged for all sorts of wonderful extra things such as checking in, checking bags, actually getting a bottle of water on the airplane, etc. so we are seeing those kinds of trends going on.
David [Cox] – Buckingham Research: So it is really just for pricing too? The airline ticket price is down and that is driving volumes?
Robert Selander: No I think the observation is, regarding your specific question, we are seeing an across the board change in consumer spending patterns. If you were to take a look at the so called luxury end retailers they have had even more significant declines, 15-20% types of year-over-year sales declines as compared with the more day-to-day operators, supermarkets and so forth. That is occurring across all sorts of cards. If you look at consumer travel, airline and hotel are down also in the order of magnitude 10% year-over-year in terms of dollars spent. That cuts across obviously consumers as well as the commercial corporate card products. I think Martina’s observation was related to the fact that even though the dollars being spent on airlines are down, transactions continue to be strong relative to other categories and relative to what we would have otherwise expected given the dollar volumes and that is because there are more transactions occurring around a flight. So individual buys a ticket for $500 winds up also buying a bag check for $20 on their card. So suddenly you have two transactions where we only had one before.
David [Cox] – Buckingham Research: I guess I was just still getting at the fact that prices may be down more than 10% as well on that ticket so you are getting more transactions and still being affected.
Robert Selander: It is increasingly difficult for us to parse the data given the incidents now at least in the airline category of these smaller ticket transactions coming through. We used to be able to make a very good call on how much was price versus volume. It is getting more challenging now because we have to sort out certain transactions that aren’t actually ticket related.
Operator: The next question comes from Jason Kupferberg – UBS.
Jason Kupferberg - UBS: Just a quick clarification before my question. The EPS headwinds from the higher tax rate it seems like you would have gotten another, if I’m right, $0.20 to $0.30 of EPS upside not for the abnormal tax rate. Is that accurate?
Martina Hund-Mejean: Yes. Presume you used the calculation versus a rate of 35% and yes as you can appreciate we had a number of significant items that not only came through in the quarter but for the whole year. We needed to make the adjustment and that is why Bob had mentioned in his remarks that for next year you should really be thinking of a tax rate around 35% again.
Jason Kupferberg - UBS: Understanding you don’t give point guidance for 2009 specifically maybe we can just talk about scenarios. If the January volume trends that you observed stay essentially unchanged for the balance of this year how should we then think about what the implications would be for top and bottom line growth?
Robert Selander: I’m sitting here musing about that. I guess I observe based on what we saw in January it will be a challenge to get to the high single digit top line growth that we mentioned would be necessary for us before taking other actions to achieve both the operating margin and net income growth rates that we have suggested we would like to be achieving over time. That means we are working hard on creating flexibility and options as it relates to where and how we spend the money should that situation either persist or worsen over the course of the year.
Unknown Speaker: I think Adam has a follow up.
Adam [No last name given]: A quick question on the cost side, a really good job in the fourth quarter. If you needed to go more than just being flat with 2008 could you do so? The second part of that is when things do come back on the top line and reaccelerate and the trends are better are the costs you have cut out do they disappear or do some of them get added back once the volumes start to pick up again?
Robert Selander: There are two parts to that question. Let me take the first one in terms of could we be better than flat. Again, let’s stay with constant FX because obviously we get benefits on the expense line as the dollar strengthens whereas it is a headwind for us on both revenue and net income. From my perspective we are trying to build, if you will, an array of scenarios. While we have one, that is the one we are currently managing against, we recognize it could get better or it could get worse and to the answer I gave to the previous question we are trying to find ways to create more flexibility. So think of that as yes we are trying to find ways that we could be better than flat. One of the trade offs that we are constantly making is how much are we potentially foregoing or penalizing the future. Obviously if there is a dollar that is being spent that doesn’t need to be spent or a Euro that doesn’t need to be spent regardless then that goes. But the one that we think has a good business case around it as we look through the challenged 2009 we see things not only stabilizing but improving in 2010 those are the kinds of things we are constantly running into as we go through this process. At the end of the day, we do not want to penalize our future by mindlessly whacking away at those things we think are valuable for improving performance both for our customers and shareholders in the future.
Martina Hund-Mejean : With respect to the second part of your question we are not looking at the deferral of costs. We are really looking at things we would be taking out in a sustainable way for the efficiency of the company and the things you have been seeing in terms of what we are doing on travel and entertainment expenses and we are doing on professional fees we actually are doing in the procurement area, for instance a meter of media rates on the market side, etc. those are all contributing factors to what we might be able to achieve. Before we move on to the next question I would like to just clarify a comment I made a little earlier today related to the question on foreign exchange. I put out there a number in terms of what kind of headwind we might be expecting in 2009 if the U.S. dollar versus the Euro exchange rates were to be staying at about today’s levels and the number I put out there was 4% of net revenue headwind. I just want to be clear that everybody understands that.
Operator: The next question comes from Chris Brendler – Stifel Nicolaus & Co.
Chris Brendler – Stifel Nicolaus & Co. : Can you talk at all about the mix of spending between discretionary and non-discretionary and what happened in the fourth quarter and do you possibly get some of that back in the first quarter with less holiday spending? Also, on a related topic did you see any evidence of consumers switching away from your products to go back to cash to help their holiday budgeting and potentially that impact may go away as you get less holiday spending in the first quarter? If you could address a couple of those trends if you could please.
Robert Selander: On the discretionary/non-discretionary I think that trend has persisted in terms of consumers managing their finances in a way that they are buying the things they need to feed their families, get themselves to and from work and so forth and they are clearly cutting back on things they might like to have but at this point in time don’t feel comfortable spending on. We have already mentioned the slow down year-over-year in the larger ticket items and I think you also see that to some extent in the decline in credit and charge based spending in the U.S. as compared to the continued growth in debit. If you look at the volume reduction in credit the reduction on cash is much more significant and you can see that in the attachment to the press release where year-over-year cash growth fell quite considerably in the U.S. on credit and charge programs. That relates to things like balance transfers. Obviously ATM and other activity would also get lumped into that number. It is principally because of the slow down in the account acquisition programs we are seeing in the U.S. credit markets. The second thing was is there some counter-secular movement back to cash. I don’t believe there is any evidence shown of that given our continued growth in transactions and as I mentioned the January data in the U.S. showed year-over-year transactional growth persisting. We are just about to start going through our spending pulse which covers all categories for January but I believe we will confirm that as it continues to move toward card electronic based transactions.
Operator: The next question comes from Analyst for Wayne Johnson – Raymond James.
Analyst for Wayne Johnson – Raymond James: The acquisitions of Washington Mutual and Wachovia what percentage of revenues or transactions did they compose and have those acquisitions had any impact or will they on your domestic portfolio?
Martina Hund-Mejean : First of all we really don’t give any customer related information on our revenue detail. From that perspective I can’t really help you.
Robert Selander: I think the way you should think about it is both of these firms are still going concerns and I expect that JP Morgan Chase with WaMu is going to try and keep as many of those customers as they can while seeing the benefits of consolidation on the expense side. The same game will be played out by Wells Fargo. Clearly the Wachovia branch network is very complementary as it is more of an East Coast branch network than the existing Wells footprint. We look forward to working with both of these players. Washington Mutual, as you know, is an extremely important debit customer of ours. JP Morgan Chase is an extremely important credit and debit customer of ours. So what we now have is a bigger and even more important customer in both of these transactions.
Operator: The next question comes from Chris Mammone – Deutsche Bank Securities.
Chris Mammone – Deutsche Bank Securities: I guess we won’t get the K until later in the month. Any update on the interchange litigation? Any change in some of the key milestones on class certification or I guess discovery at this stage? Anything to call out there?
Robert Selander: In terms of the timeline on the U.S. interchange case, fact discovery was essentially completed during the month of November. That was pretty much wrapped up. There have been briefings taking place on class certification during the month of January. The court has not scheduled any oral argument to my recollection with regard to the class motion. We expect this is going to play out over the course of the next several months and we believe that expert reports will be coming in the month of May from the plaintiffs and our expert reports will come in the course of the late second or early third quarter. At this point in time there is no trial date that has been set. So we expect this case is going to be persisting through this year and well into 2010.
Chris Mammone – Deutsche Bank Securities: Could you just remind us what percentage of profit or volume doesn’t involve U.S. consumers?
Martina Hund-Mejean : I think we have, I’m not sure we actually put out numbers there. What we have said is more than half of the cross border volume we have comes from Europe. That is about the specificity we provide.
Chris Mammone – Deutsche Bank Securities: That is just intra-Europe?
Martina Hund-Mejean : Both intra-Europe and outside of Europe but obviously a significant portion of it is intra-Europe.
Operator: This concludes the question-and-answer portion of today’s call. I would now like to turn the call back over to management for any closing remarks.
Robert Selander: I’d like to just say thank you all for joining us again today. We think we had a very strong fourth quarter. We also recognize that there are major challenges that our customers and consumers are facing around the world so we have a heightened emphasis on creating flexibility for the company as we look forward and in doing so we hope that will not only give us better performance as we move into future years but also perhaps identify some special opportunities for the company. We appreciate your joining us. Now we are all going to get back to work. Thank you.
Operator: Thank you for your participation in today’s conference call. This concludes the presentation. You may now disconnect.
 and are :
Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.:
THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S : If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!